Operator: Greetings, and welcome to the Marin Software First Quarter 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Bob Bertz, Marin Software's Chief Executive -- Chief Financial Officer. Thank you. You may begin. 
Robert Bertz: Thank you. Good afternoon, everyone, and welcome to Marin Software's First Quarter 2024 Earnings Conference Call. My name is Bob Bertz, I'm Marin's CFO, and joining me today is Chris Lien, Marin's CEO. 
 By now, you should have received a copy of our earnings release, which crossed the wire a short time ago. The release can also be obtained on our website at investors.marinsoftware.com. Call participants are advised that the audio of this conference call is being recorded for playback purposes, and that the recording will be made available on the Investor Relations section of our website within a few hours.
 Before we begin, I'd like to note that our discussion today will include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. These forward-looking statements include statements about our business outlook and strategy; our expectations for customer adoption and use of our services; historical results that may suggest trends for our business; our expectations about our ability to improve customer retention and new business bookings and to sustain or grow our business; our expectations about our expenses and cash resources; the impact of investments in product and technology; progress on product development efforts; product capabilities and benefits; our relationships with publishers and other parties in the digital advertising market; expectations for future economic activity and digital advertising spending; expected restructuring costs and cost savings from our restructuring efforts; and our expected Q2 2024 and future financial results. 
 We make these statements as of May 2, 2024, and disclaim any duty to update them. For more information regarding these and other risks and uncertainties that could cause actual results to differ materially from those expressed or implied in these forward-looking statements as well as risks relating to our business in general, we refer you to the section entitled Risk Factors in our most recent reports on Form 10-Q and Form 10-K as well as our other SEC filings.
 This presentation contains certain financial performance measures that are different from the financial measures calculated in accordance with GAAP and may also be different from similar calculations or measures used by other companies. A quantitative reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our first quarter 2024 earnings release. 
 With that, let me turn the call over to Chris. 
Christopher Lien: Thank you, Bob. Good afternoon, everyone, and thank you for joining our call today. I'll share my observations on the quarter and provide an update on our initiatives to sustain and grow our business. Bob will then provide additional detail on our first quarter results for 2024 and our outlook for the second quarter of 2024.
 As we highlight each quarter, we are committed to our efforts to sustain and grow our business and to maximize shareholder value. Our plan to achieve this is focused on delivering a leading cross-channel advertising management platform to enable brands and their agencies to maximize the return from their online advertising investments.
 As announced in today's earnings release, Q1 revenues came in at $4 million, which was at the low end of our previously published guidance for Q1, but still down from Q1 in the prior year. I note that Marin's revenues declined about 12% year-over-year as our revenue decline moderates with progress in retention and bookings. 
 Our Q1 non-GAAP operating loss was also at the low end of our guidance. Our non-GAAP operating loss was materially lower on a year-over-year basis, reflecting the initial benefits of our July 2023 restructuring and reduction in force plan. Our total cash balance at the end of Q1 was $9.6 million.
 As I've shared before, Marin seeks to be an ally in digital for the world's leading brands and their agencies. The online path to purchase traverses a range of channels, devices and publishers. Marketers need to engage at all points of this customer journey. And the walled gardens of Google, Facebook, Amazon and the other publishers, including TikTok, Snap and LinkedIn do not play well together. 
 Brands must connect the dots. Marin helps these advertisers to measure, manage and optimize their online advertising investments, driving performance, time savings and better business insights. We do this by serving as a performance layer that complements the tools that each of the publishers provides to its customers. These publisher tools understandably are focused on the ad units of each publisher and encourage brands to spend more with that publisher. The publisher tools generally don't compare advertising performance across publishers, don't highlight opportunities to reallocate spend across publishers to improve performance and don't promote a unified view of a customer's journey across channels, devices and publishers. 
 We supplement our Marin platform with support from our experienced team of digital marketing experts who can help brands to navigate the complex but rewarding world of digital advertising. We have been investing over the past quarters to give brands and agencies a user-friendly cross-channel advertising management platform, enabling them to sell more by unifying the fragmented world of performance marketing. To address the varying needs of digital marketers and their agencies, we offer 3 primary products. 
 Connect is a reporting focused solution for advertisers looking to collect their performance marketing data from a variety of sources and send to data warehouses, BI tools and spreadsheets. Step one of understanding your digital advertising spending is to have reliable comprehensive reporting in a format that addresses your particular business needs. Marin provides marketers with revenue cost and ad performance data for the publishers that we support, unified in our Connect offering. 
 Ascend builds on the data foundation provided by Connect. Marin's Ascend offering is our budget management pacing and forecasting solution that enables marketers to leverage Marin's AI-based optimization methodologies to deliver budget compliance as well as to understand what if from an increased or decreased advertising spend and to understand optimal spend allocation across channels, publishers and campaigns. 
 Historically, these kinds of budgeting decisions have been done with spreadsheets and a highly manual and potentially error-prone approach. Marin is able to provide marketers with a powerful UI to automate these budgeting decisions while providing flexible budgeting controls and the ability to use a range of bidding approaches, including support for Google's Smart Bidding.
 Ascend supports a range of publishers and channels. And this quarter, we debuted enhanced support for LinkedIn, TikTok, Apple Search ads and Tabula to include Marin's proprietary forecast and budget models and simulations. Our optimization tools now allow fine grain control of the posting of budgets and/or targets to ad platforms with Ascend. This feature ensures that budgets are dynamically adjusted to maximize campaign performance without manual intervention. 
 Ascend complements the robust in-channel publisher bidding and provides an independent measure and means to allocate and pace online advertising investment, delivering optimal financial results and significant time savings compared to alternative manual approaches. With each passing quarter, we are encouraged as we see more advertisers and agencies benefiting from Marin Ascend. Ascend is already helping drive both new business and renewals. 
 And Marin's third offering is MarinOne, our flagship cross-channel advertising management platform. MarinOne is designed to complement the publisher tools to enable management at scale for large paid media programs, driving time savings and financial lift. In the past quarter, we debuted additional scripting functionality to enable marketers to work cross-channel and cross publisher to achieve their marketing goals more easily. 
 As we all are aware and are reminded each day, AI is upon us, promising to transform our business and personal lives with efficiency gains and new capabilities. With powerful large language learning models now developed, the focus turns to how a modern marketer begins to apply AI to his or her marketing program to deliver better results for the business. 
 Marin is pleased to have just debuted ChatGPT-powered anomaly detection reports, designed to identify and summarize performance outliers. These reports are delivered in a concise easy-to-understand format via e-mail, enabling marketers to review and address significant deviations in campaign performance quickly. Our team intends to expand the application of AI to optimize online advertising and expects to bring additional innovations to market in the coming quarters.
 Additionally, in the past quarter, we launched our Marketing Calendar, which enables users to effectively track and analyze the impact of various events such as holidays, promotions and competitor actions on campaign outcomes. This tool is essential for strategic planning and optimizing marketing efforts to capitalize on these events. This is a good example of cross-channel, cross-publisher functionality that helps marketers in their day-to-day activities. 
 We've also expanded the capability of Marin Scripts for those marketers who prefer this management approach by integrating them with Google Sheets and custom reports. This enhancement allows performance marketers to harness the collaborative features of Google's cloud-based spreadsheets and Marin's comprehensive analytics to measure, optimize and automate campaigns with the latest data available.
 In addition, Marin Scripts now run across multiple accounts and automatically filters, results tailored to specific users. This upgrade particularly benefits agencies and teams managing large-scale operations, simplifying report management and enhancing efficiency. This past quarter, Marin enhanced our core paid search functionality to include support for managing Microsoft advertising's new automated bidding strategies, providing a more robust tool set for managing search campaign budgets and performance. 
 Marin has invested in our support for leading social publishers, including Meta. This past quarter, we enhanced our support for Meta's advanced advertising features, including outcome-driven ad experiences or ODACs and dynamic creates. These capabilities allow marketers to more effectively manage and optimize their social media campaigns through MarinOne, Marin's cross-channel platform. 
 And Marin has expanded our support for Amazon ads. Marin now supports Amazon's store spotlight, sponsored brand video and nonendemic ads, allowing all users to engage with Amazon's highly active customer base, even those who do not sell directly on the platform. 
 As we have discussed on past calls, our activities to support brands and their agencies take place against an active backdrop of governmental antitrust investigation of the businesses of leading publishers in the digital advertising market at the federal and state levels and in the EU. There is also the potential for federal legislation to regulate the conduct of the leading publishers, which could benefit Marin's role as an independent ad management platform.
 Marin enjoys coopetition relationships with the leading publishers, and we do not expect significant changes in these relationships in the near term. We see early but encouraging signs that our latest efforts are resonating more with customers and prospects. Marin can benefit as consumers spend increasing time online and ad dollars follow them, creating more need for brands to measure, manage and optimize these investments to acquire customers and drive revenue outcomes. 
 With the combined online advertising share of Google and Meta below 50% and the growing fragmentation of digital advertising, we see increasing interest in brands taking a cross-channel approach to their digital advertising investments, leveraging Marin's cross-channel reporting, management at scale and budget optimization. Marin, with our MarinOne platform and our team of digital advertising experts, is well positioned to support leading brands and their agencies in these efforts.
 And now Bob will review our first quarter financial results and our outlook for the second quarter of 2024. 
Robert Bertz: Thank you, Chris. I'll provide an overview of our first quarter results and then share our forecast for the second quarter of 2024. I'll begin with a review of our income statement. 
 For the first quarter of 2024, Marin generated $4 million in revenue, at the low end of our guidance. First quarter revenue was down approximately 12% when compared to total revenue for the first quarter of 2023. The decrease in revenue year-over-year is primarily attributable to the fact that existing customer churn outpaced new bookings. Our geographic split for revenue was approximately 80% U.S. and 20% international during the first quarter of 2024. 
 Moving on to our operating results. As a reminder, our financial statements and a reconciliation of our GAAP to non-GAAP financial measures can be found in our earnings release issued earlier today. As I've discussed on previous calls, we commenced the implementation of a restructuring plan in July of 2023. The restructuring plan is expected to reduce our pretax cost structure by approximately $10 million to $13 million on an annualized basis. 
 Close to $10 million of the estimated annualized cost savings is expected to come from the reduction in force, which reduced our workforce globally by 64 positions as well as approximately 15 full-time equivalent contractor roles. The reduction in force was complete as of the end of 2023. We incurred approximately $1.8 million in restructuring costs, substantially all of which relates to severance and other onetime termination benefits.
 We began to realize the associated savings during the third quarter of 2023, and we expect to fully realize the estimated savings in 2024. As of the end of Q1 2024, we are on track to achieve our savings target. This restructuring helps to bring our expense base more in line with our current revenues.
 Our non-GAAP operating loss was $2.1 million for the first quarter of 2024 as compared to a $5 million loss for the first quarter of 2023. The $2.1 million non-GAAP operating loss in Q1 was towards the low end of our guidance due to the revenue results. The decrease in operating losses compared to Q1 2023 is primarily attributable to the realized savings from our restructuring plan implemented during the second half of 2023, which were partially offset by lower revenue in the current period as compared to last year. 
 Our non-GAAP operating expense in Q1 2024 of $4.4 million represents a 36% decrease when compared to the prior year quarter. The decrease is attributable to the implementation of our restructuring plan. We ended the quarter with 106 total headcount globally versus 176 a year ago. The decrease in head count year-over-year is due to the reduction in force that was commenced in July of 2023 as part of our restructuring plan. About half of our remaining team is in technology roles, which we believe allows us to continue to deliver new products, features and functionality to drive results for leading brands and their agencies. 
 In terms of our balance sheet, we ended the quarter with a total cash balance of $9.6 million as compared to $11.4 million at the end of the previous quarter. Moving on to our outlook. For Q2 2024, we expect revenue to be in the range of $3.9 million to $4.2 million; and our non-GAAP operating loss is expected to be in the range of $2.1 million to $1.8 million. 
 This concludes our call for today. Thank you for your time, and we look forward to updating you again during our Q2 2024 earnings call. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.